Anat Earon-Heilborn: Hello, and welcome to Freightos Q4 2025 Earnings Conference Call. A press release with detailed financial results was released earlier today and is available on the Investor Relations section of our website, freightos.com/investors. My name is Anat Earon-Heilborn, and I'm joined today by Pablo Pinillos, Freightos' CFO and Interim CEO; and Ian Arroyo, Chief Strategy Officer. We are also joined today by Dr. Udo Lange, Chairman of the Board, to share brief remarks. Following the prepared remarks, we'll open the call for questions. We are sharing slides during the call and using video, so we recommend using Zoom on a computer rather than dialing in by phone. The slides as well as a recording of this earnings call will be available on our website shortly after the call. Please be aware that today's discussion contains forward-looking statements, which are subject to a number of risks and uncertainties. Actual results may differ materially due to various risk factors. Please refer to today's press release and our SEC filings for more information on risk factors and other factors, which could impact forward-looking statements. Copies of these reports are available online. In discussion of -- in discussing the results of our operations, we'll be providing and referring to certain non-IFRS financial measures. You can find reconciliations to the most directly comparable IFRS financial measures, along with additional information regarding those non-IFRS financial measures in the press release on our website at freightos.com/investors. The company undertakes no obligation to update any information discussed in this call at any time. Today's earnings call will begin with brief remarks from our Chairman, Dr. Udo Lange. We will then hear a business overview and outlook by Pablo, followed by Ian, who will deep dive into our strategy. Next, Pablo will present the financial results and the guidance for Q1 and full year 2026. We will conclude with Q&A. [Operator Instructions]. Udo, please go ahead.
Udo Lange: Yes. Thank you, Anat. Good morning, everyone, and thank you all for joining us. I joined the call today to frame where we are headed and how we are going to get there and to express firsthand the Board's conviction in the company's vision and success. Let me start by saying that in 2026, we are prioritizing profitability and disciplined growth. We remain committed to reaching breakeven by the end of the year. We also remain committed to our long-term ambition of digitalizing the global freight ecosystem with a deliberate strategy that sets out specific step priorities. Freightos has built a leading position in digital air bookings, connecting carriers, shippers and forwarders on a platform that enhances billions of dollars of global trade flows. This progress has been achieved through times of challenging global macro and trade environment. The Board is convinced there's a significant long-term opportunity to digitalize and modernize global freight. Management and the Board continuously reflect on what the company needs in terms of governance and leadership in order to succeed as a scaled public business. Last year, the Board separated the roles of Chair and CEO. This was a natural evolution as the company entered a more mature phase. We also added 2 external directors with deep logistics and technology experience, Michael Schaecher and Rotem Hershko and established a product, AI and technology committee in order for the Board to bring greater focus on product priorities, capital allocation and long-term growth drivers. The previously announced CEO transition reflects the shared view that Freightos is entering a stage where operational discipline and execution focus must increasingly complement our strong foundation. On that note, the transition from a founder-led to a professional CEO-led organization is orderly and progressing. The Board is considering both internal and external candidates and expect to appoint a new CEO before the next earnings release. Of course, the Board is fully supportive of the management team aligned on priorities and appreciative of their efforts. Turning briefly to financial discipline. Breakeven has been a long-standing objective for the company. The Board is confident the company is on track to achieve this goal. We view breakeven as a milestone towards becoming a self-sustaining growth company with attractive margins and strategic flexibility. In 2026, we are focused on strengthening and expanding our comprehensive solution suite while continuing to drive transaction growth across the platform. Looking ahead to 2027 and beyond, the objective is to build on the operational discipline established in 2026 and accelerate profitable growth from a stronger financial and strategic foundation, including a solid cash balance. To sum up, I and the Board see Freightos as a company with a strong platform and a meaningful market opportunity and the foundation to deliver on its commitments and vision. Now over to you, Pablo.
Pablo Pinillos: Thank you, Udo, for the Board's ongoing support, and good morning, everyone. I want to walk you through our priorities before discussing performance. As interim CEO, my priority is disciplined execution and delivering on our short-term commitments while positioning us for a long-term growth. Over the past months, I have worked closely with the leadership team to establish a focused plan of a strong execution and improved predictability, especially our commitment to reach breakeven adjusted EBITDA in Q4 this year as a forcing function for discipline. It requires prioritization, accountability and a focus on initiatives that strengthen unit economics and durable growth in the short term. We are concentrating our efforts in 3 areas: go-to-market execution, a solution first focus and even sharper cost discipline and operating efficiency. We are in parallel preparing for our next phase of growth and validating the initiatives that can drive durable acceleration in 2027 and beyond. This work is focused on areas where we see clear product market fit, a strong return of investments and repeatable sales motion. The goal is to enter 2027 with initiatives that are already tested and measurable, all while supporting our expansion from supporting spot bookings at a scale towards both contracts and tenders as well as ocean. Let me walk through our fourth quarter and full year performance, and then I will return to our 2026 priorities. We delivered results in line with guidance, demonstrating our dedication to executing to our commitments. Full year 2025 revenue grew 24%. Despite a volatile global trade environment, transactions and GBV continued to grow year-over-year. Solutions growth was comparatively softer as we have discussed during the year, and that informs our priorities for 2026. As I will share later, I believe we have a strong potential here to grow. In Q4, we delivered our 24th consecutive quarter of record transactions. That's already 6 years, reaching 445,000 bookings, up 27% year-over-year and modestly above expectations. Our active carrier network remained at a record of 77 carriers, unchanged from Q3 and up from 67 in Q4 2024. More carriers are in the integration phase. We are now integrated to airlines that represent around 80% of global carrier capacity, but continue to see upside. That said, new carrier logos are just one driver of transactions growth. Another meaningful driver is increased utilization, existing carriers adding lines, expanding capacity distribution, new services and organic like-for-like growth. Just for context, over 95% of the new unique lines that were booked in 2025 were added by carriers that had joined us before 2025. Gross booking value reached $357 million in Q4, up 27% year-over-year. Even though the majority of our transactions are monetized on a flat fee basis and not directly tied to GBV, it remains as an indicator of ecosystem liquidity and the growing strategic relevance of the platform within digital freight workflows. On the solution side, during the quarter, two of the largest global freight forwarders selected Freightos Solutions on a global level for new or expanded services following rigorous evaluations and pilot phases. Beyond our air solution, one of these also selected our ocean rate management and quoting solution as part of their deployment. We also have seen ongoing expansions from our forwarders customers that are using us for procurement. In general, we are seeing broader value emerging from the full extent of our stack, spanning procurement, tender management, rate management, quoting, booking and sales. as well as our deep integrations. For enterprise shippers as well as our expansion of our procurement and intelligence offerings for forwarders, the value proposition of our solutions is straightforward, enabling better and faster sourcing decisions and running procurement end-to-end in a single workflow supported by trusted market data. As a reminder, Procure is our enterprise tender management solution and Terminal is our market intelligence and benchmarking data solution. In Q4, we advanced our value proposition by embedding Terminal [indiscernible] benchmark directly into Procure. This allows customers to compare carriers bids against independent market benchmarks within the same tender workflow and without leaving the interface. An equivalent solution for air procurement is currently in development. This integration improves transparency and reduce friction in the tender process while increasing the strategic relevance of our solution procurement teams. That said, solutions momentum was softer than we anticipated going into the year. As we said on prior earnings calls, enterprise sales cycles increased in 2025 with budget cautions pushing decisions out. This environment also highlighted areas where we must tighten execution. Those are in product delivery and in the go-to-market. We are segmenting 2026 as a solution first year, concentrating our efforts on solutions, adoption and product quality, which will allow the platform to grow more organically in the near term. What we found is that investing more in our solutions business is the best way to both improve and retain sustainable revenue while also improving our long-term transaction growth and its monetization. Across the portfolio, investments are being evaluated through a more strict filter of customer impact, delivery, reliability and return of invested capital. We are concentrated on making strong product integrations and moving from individual tools to a more coherent end-to-end workflow. As our solutions become more deeply embedded in customers' daily operations, the economic value speaks for itself and decision cycles become more straightforward. On the go-to-market, in 2026, we are adopting an even more disciplined model focused on driving more consistent expansion within our base. We believe that we can generate more sales and do so more efficiently by better leveraging our full solutions and platform ecosystem. This includes both expanding shares of wallet from our existing enterprise customers with better cross-sells of the full range of offerings we have as well as leveraging cross network effects so that, for example, shippers introduce us to more forwarders who then introduce us to more shippers. With that in mind, we have revamped our sales and go-to-market approach based on a deep customer research and an expanded commitment to quality and innovation and to the maximum value to our customers. The objective is clear: increase sales productivity, accelerate new sales and acquisitions of new logos and drive more reliable renewals and upsell performance. Let me pass it on to Ian to discuss our strategy in more detail, including our belief that a more rigorous focus on solutions is the best long-term driver of both transactions and sustainable revenue growth.
Ian Arroyo: Thanks, Pablo, and good morning, everyone. Our strategy is to build durable workflow ownership based on a foundation of SaaS solutions that create sustained tangible value for shippers, carriers and forwarders throughout their procurement, pricing, booking and sales life cycle. When we deliver that value, we've seen firsthand how it improves transaction growth at scale, and it also improves our pricing power and operating leverage over time. We've proven this model in digital air cargo as we built an industry-first digital infrastructure layer that drove adoption by supporting forwarder workflows. This directly led to reliable transaction volume. Solutions supported business processes. Those processes created liquidity and liquidity created scale. We're now extending that same playbook in 2 directions, expanding to ocean as a new mode as well as expanding to tendering, which represents the lion's share of freight booked. We're doing this by expanding carrier connectivity, integrating procurement and data tools to support end-to-end workflows and leveraging our network of forwarders and global shippers to drive adoption across both sides of the marketplace. This shift to a solutions-first strategy is supported by a modular API-driven architecture designed to integrate into existing freight workflows rather than replace them. Our solutions are built as independent components that are already natively embedded into TMS platforms, ERPs, procurement systems, execution layers and carrier tools, allowing our customers to adopt functionality incrementally and at scale. We are increasingly leveraging AI-enabled automation to support decision-making and execution within these workflows, but always in a way that enhances reliability and control. This approach ensures our software remains flexible, scalable and aligned with how our customers are modernizing their operations. You can think of this as 3 strategic pillars. The first is Air, where we have already established market leadership. We estimate our global share of air bookings is in the low to mid-teens. In 2026, the focus is on adding contract rates, again, supported by our procurement solution, deepening penetration with large forwarders through integrations and expansions and selectively expanding monetization as usage continues to scale and where we provide more value like in payments. The second is Ocean, which is earlier in the cycle, much like where our air product was 6 years ago. We launched Ocean rate and quote towards the end of 2025, and the priority now is making it a daily operating system for forwarders. As workflow adoption increases and carrier connectivity deepens, real-time bookings will follow. We expect booking flow to begin in '26, but to become truly meaningful in 2028. The third trajectory is tendering and procurement. With the acquisition of Shipsta and integration of Shipsta, we added the procurement layer to our platform. In 2026, we're strengthening procure and scaling adoption with enterprise customers. The objective is to connect awarded tenders directly into execution, linking contract sourcing to transactional flow. This closes the loop between planning and booking and expands the surface area for customer value and, of course, monetization. Both ocean and tender represent markets structurally larger than air, which significantly increases the long-term upside of this SaaS to booking model. All 3 trajectories are united by a single integrated value cycle. By expanding our offering to forwarders across air, ocean and procurement workflows, we deepen our role in their operating processes and strengthen customer retention and expansion. That drives transaction flow, while the data further improves the intelligence and value we deliver to shippers and forwarders. This approach also improves unit economics over time by embedding workflows, strengthening retention and lowering marginal CAC as we scale. So this is not 3 parallel initiatives. It is an interconnected strategy designed to deepen order workflow ownership, improve shipper decision support and build a scalable transaction engine. With that, I'll hand it back over to Pablo to walk us through the numbers.
Pablo Pinillos: Thanks, Ian. And now let's take a view on the numbers. Revenue for the quarter was $7.4 million, up 12% year-over-year. Platform revenue was up 13% and solutions revenue was up 12% year-on-year. Revenue for the full year was $29.5 million, up 24% year-over-year. Platform revenue grew 18% and solutions revenue was up 27% from 2024. As noted earlier, solutions and platform are tightly linked. Solutions growth drives higher platform activity and monetization over time. Our cohort analysis illustrates the utilization point I made earlier. This is a view of platform bookings in Q4 2025 by selecting forwarders being touched and carriers being touched. It shows how transaction growth is driven by deeper engagement within the existing network, not only by adding new logos. Gross margins were within our target range of 70% to 80%. In Q4, non-IFRS gross margin was 72.7%, down from 74.3% in Q4 2024. This is a result of both product mix and foreign exchange effect. For the full year, the non-IFRS gross margin of 73.7% was up 130 basis points compared to 2024, thanks to the operating leverage and customer service automation. Adjusted EBITDA was negative $2.7 million in Q4 2025 and negative $11.2 million for the full year. As we discussed in previous quarters, operational gains were made, but they continue to be masked by the currency headwinds. A stronger euro and Israeli shekel versus the U.S. dollar reduced the gain in adjusted EBITDA compared to our operating performance. We closed the quarter with $27.9 million in cash and short-term bank deposits, slightly better than our expectations. Now let's discuss guidance. Transactions and GBV growth for the first quarter of 2026 as well as for the full year will continue to be strong, but around the low end of our long-term model, reflecting our priorities for the year. Our expectations for revenue growth in 2026 are directly affected by the solution softness we experienced throughout 2025. While retention remains solid, the longer sales cycles left a shortfall in new bookings, which is expected to affect near-term solutions revenue growth. So for the first quarter of 2026, we are expecting high single-digit revenue growth. For the full year, we expect 6% to 12% with higher growth rates for platform and solutions. We intend to continue our focus on cost discipline and operating efficiency in order to deliver profitability improvements that will enable us to achieve adjusted EBITDA breakeven by Q4 this year. Reaching breakeven does not mean stopping investments, it means investing deliberately. We are aligning our cost structure with the scale of the business today, while preserving the ability to accelerate growth once execution fundamentals are firmly in place. Reaching breakeven in Q4 is expected to be driven roughly half by operating leverage from revenue growth and about the other half from structural cost discipline. We expect this to leave us with a cash balance of approximately $20 million at the end of 2026. Our objective is simple: keep our commitment on breakeven, improve execution reliability and position Freightos to scale from a position of strength. Thank you for your attention. We are now open to questions.
Anat Earon-Heilborn: Thanks, Pablo. So we will start the Q&A session. The first question will come from the line of Jason Helfstein.
Jason Helfstein: So yes, so completely agree that the strategy around solutions makes a lot of sense. That's where kind of you could argue the durable SaaS nature is. I guess, has there been like a fundamental change in view of, let's say, now versus a year ago as to how you need to go to market to grow that business? And I guess were there decisions made at some point in 2025 around cash flow that may have changed your strategy. So I guess just unpack like, I think you kind of talked about how you want to go to market now. How has that changed versus a year ago? And then I've got a follow-up.
Pablo Pinillos: Sure. And thank you for the question. So the go-to-market change is not a drastic change. It's a slight change. As Ian said, we are customer-led go-to-market based on the deep voice of customer work. We drive solution first workflow embedded across air, ocean, procurement and tighter integrations and network effects. So that's the focus that we want to drive, as we have said in the call. With that, we also want to focus in projects and priorities that are -- that we believe the return is much better and deprioritize the ones that we believe is not getting us to where we want to be right now. So that would be really the shift in the go-to-market.
Jason Helfstein: And has there been any kind of changes on the -- I guess, on the headcount side? Or like can you maybe detail any operational changes you've made to kind of pursue, I guess, a more selective strategy as it sounds like as to which clients you're focusing on deeper?
Pablo Pinillos: So we are going to focus on the fewer ICP, higher ICV from focused targets and overall execution improvements on go-to-market.
Jason Helfstein: Okay. And then just a follow-up. Platform take rate did come down a little bit in the quarter, like 10 basis points or 7 basis points. Is there any dynamic there that we need to be paying attention to? Or is that just kind of like quarterly noise?
Pablo Pinillos: Well, I would say it's quarterly noise, first. And second, something that we have always been repeating in the different calls. The take rate, if you take the take rate from the GBV, is not directly aligned with one with the other. Our -- majority of our revenue from transactions comes from a fixed fee on transactions. And then depending on the volume of the transactions that has a higher or lower fee is where -- why you feel -- it does feel if you do it mathematically, just GBV per the number of revenue and transactions, it seems it's lower. But I can tell you that our take rate has not decreased in any single one of our lines.
Jason Helfstein: Got it. And maybe last question. I mean just obviously, every question is getting asked how they're thinking about agentic and LLM tools. I guess, give us your take on how you're thinking about like deploying large language models within your business? And is there some kind of productivity improvement, both either kind of from a growth or a cost standpoint that could be achieved if you're able to deploy some of those tools?
Pablo Pinillos: So in order to do that, we are driving an AI agentic strategy, as you said. And we are going to be -- we are the disruptors here. We are not the ones to be disrupted here. Our API-driven architecture is designed to integrate modularly with the different elements, TMS, ERPs, as Ian said before. So we aim to get leverage from that in the short terms and getting operational efficiencies in the long term.
Anat Earon-Heilborn: Okay. So the next question from the line of George Sutton.
George Sutton: Ian, you mentioned improving unit economics over time. I wondered if you could go into more detail on what your plans are there.
Ian Arroyo: Pablo, I'll let you speak to the unit economics.
Pablo Pinillos: Okay, as it was directed to you. But anyway, so the unit economics that we want to drive is that we get a better return for every single project that we drive in, meaning that the projects that we will prioritize are the ones that those unit economics from a CAC perspective, from a short-term revenue perspective and more expanding our network and our capabilities will be the ones that we'll be focused on.
George Sutton: So the move is to a solutions first focus. That's also been the area that's been more challenging for you to build out. I'm just curious what you're seeing to suggest that, that is the area to really focus.
Pablo Pinillos: Ian explained it really well. And go ahead, Ian. I was going to ask you to jump in.
Ian Arroyo: Yes. It's a great question. A couple of things. One is, if you look at our historical, our vast majority of our solutions revenue has come from the air side of our business. And if you look at the transaction growth, you can see that as our solutions business grew, our transactions grew, right? So transactions were a lagging indicator of the value that the SaaS was providing on the air side. Last year, we announced the growth into ocean and 1.5 years ago, we announced the acquisition of Shipsta from a procure and tendering perspective and bringing a multimodal solution to bear, so air and ocean combined for our forwarder clients, including all 20 of the top 20 and another 2,500 beyond that, plus the procurement solution as well as the tendering solution all combined together to allow Freightos to work alongside our clients to provide procure and tendering, which is like pre-operations, the actual operations of quoting, booking and execution and then the market intelligence which is the Freightos terminal, providing that as an integrated suite as well as a modular capability allows us to go deeper into the relationship with our clients from a workflow, day-to-day workflow perspective, which then as ocean liners come online from an e-bookings perspective, allows us to then be ready to help those ocean carriers grow their e-booking portfolio because we already have the demand fully integrated into our solutions base. So we believe that solutions first with a broader capability than air, ocean, air plus procurement tendering and market intelligence really allows us to support the direction that our clients are headed into the future, as Pablo said, based on deep customer relationship knowledge and being customer-led. And as the ocean carriers and other air carriers are beginning to bring on contract volume and ocean carriers are bringing on their volume, then we believe that the next logical step, just like it was in air e-bookings will be ocean e-bookings, which is about twice as big, if not a little bit bigger than that than air today.
George Sutton: Finally, for Pablo, you mentioned a quarter ago a pretty aggressive 100% likelihood of achieving EBITDA breakeven in '26. I'm just curious a quarter later, are you still comfortable with those percentages?
Pablo Pinillos: Well, we are intending to continue our focus on cost discipline and operating efficiency, and that will enable us to achieve adjusted EBITDA breakeven by Q4 this year.
Anat Earon-Heilborn: Okay. I will read a couple of questions from the chat. First one is transactions and GBV continue to grow at about 20%, while revenue guidance for 2026 is only 6% to 12%. Can you explain what is driving this gap and how we should think about take rate trends going forward?
Pablo Pinillos: Sure. Let me take this one. So first of all, take rate trends going forward. As I explained before in a previous question, take rates will continue to improve. The difference on the overall mix between the different flat fee for the different transactions is what you could make look not that way. But I'm telling you that the take rates will continue to improve over time and in the next -- in this year for sure. The second thing about transactions growth and the revenue gap. So first, transactions revenue represents 1/3 of our total revenue and solutions revenue represents 2/3 of our total revenue. Solutions revenue, you have -- it is a recurring revenue business where you have to build up the snowball in order to be able to maximize in that revenue in the following periods. As I said in the call, and we've been saying for the last 3 earnings calls, the solutions business has suffered from the volatility of the market with delays on the sales cycles due to the uncertainty and the budget constraints that it has. So we have had that gap. And that's the reason why there is that gap between the transactions and GBV growing at 20% and overall revenue growing between 6% and 12%.
Anat Earon-Heilborn: Okay. The second question is for Udo. Can you elaborate on Dr. Schreiber's decision to step down from the Board? Is this part of a planned governance transition? Or should we view it as connected to a broader leadership change?
Udo Lange: Look, as we all know, founder transitions are hard. And when we made the announcement about the CEO transition, Zvi was planning to remain a Board member. So stepping from the Board was not planned, and this decision was really entirely Zvi's. And we are sorry about his decision, but respect it and wish him all the best in the next chapter. And we are really privileged to have an incredibly strong Board and management team with expertise that spans logistics, technology and strong governance. So -- and of course, I will not speak for Zvi today. We are really grateful for his contributions and are committed to his long-term vision. The Board and management team are aligned on the strategy Pablo and Ian just outlined, solutions first, breakeven this year and executing for durable, accelerated and profitable growth. And we believe that this is the best path forward for Freightos.
Anat Earon-Heilborn: Okay. So the next question, Pablo, will you be willing to discuss when you expect to get to GAAP profitability?
Pablo Pinillos: Well, just not to expect on GAAP profitability. What we have said is that we are aiming to reach adjusted breakeven by the end of the year. Cash flow, it usually has a delay of 1 or 2 months -- 1 or 2 quarters after you reach breakeven. So from that point, we will be looking at how to get to GAAP profitability at that time.
Anat Earon-Heilborn: Okay. We have no more questions. So thank you, everyone. Have a good day.
Pablo Pinillos: Thank you.